Operator: Thank you for standing by, and welcome to H&R Block's Fourth Quarter Fiscal Year 2025 Earnings Conference Call. [Operator Instructions] I would now like to hand the call over to Jessica Hazel, Vice President, Investor Relations. Please go ahead.
Jessica Hazel: Thank you. Good afternoon, and welcome to H&R Block's Fiscal Year 2025 Financial Results Conference Call. Joining me today are Jeff Jones, our President and Chief Executive Officer; and Tiffany Mason, our Chief Financial Officer. Earlier today, we issued a press release and presentation, which can be downloaded or viewed live on our website at investors.hrblock.com. Our call is being broadcast and webcast live, and a replay of the webcast will be available for 90 days. Before we begin, I'd like to remind listeners that comments made by management may include forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties, and actual results could differ from those projected in any forward-looking statement due to numerous factors. For a description of these risks and uncertainties, please see H&R Block's annual report on Form 10-K and quarterly reports on Form 10-Q as updated periodically with our other SEC filings. Please note, some metrics we'll discuss today are presented on a non-GAAP basis. We've reconciled the comparable GAAP and non- GAAP figures in the appendix of our presentation. Finally, the content of this call contains time-sensitive information accurate only as of today, August 12, 2025. H&R Block undertakes no obligation to revise or otherwise update any statements to reflect events or circumstances after the date of this call. I will now turn it over to Jeff.
Jeffrey J. Jones: Thank you, Jessica. Good afternoon, everyone. We appreciate you joining us for our year-end earnings call. Today, Tiffany and I will discuss the consistent growth H&R Block has delivered as we remain focused on strengthening the company, generating ongoing meaningful cash flow and increasing the value we create for shareholders. We will also outline how we are positioning the company for success in fiscal 2026. Beginning with our fiscal 2025 results, we are pleased to report total revenue growth of 4.2% compared to the prior year. Additionally, we delivered $976 million of EBITDA, which was within our outlook range, though we had anticipated stronger year-over-year results. Tiffany will provide details of the operating expense headwinds we faced in a few minutes. On the capital allocation front, today, we announced a 12% increase to our quarterly dividend. With this increase, we have more than doubled our dividend since 2016. Combined with share repurchases, we have returned over $4.5 billion to shareholders during this period. I am proud of our continued commitment to disciplined capital allocation practices. Now let's dive into our operating performance. In fiscal 2025, assisted revenue grew by 6.1% and DIY revenue grew by 9.7%. We increased company-owned assisted filing volume and improved our market share trend year-over-year. Our assisted offering highlights H&R Block's expertise and continues to resonate well, particularly among higher income earners, which is an important customer segment for our long-term growth strategy. For the third consecutive year, we have seen client growth in every segment $80,000 in income and above, with our fastest-growing segment being clients with over $100,000 in income. In our retail offices, we continue to focus on improving conversion among those clients who begin tax prep with us, but do not finish. This year, improvements in how we welcome clients, match their needs with the best tax pro and manage their expectations led to higher client conversion for the second consecutive year. In DIY, significant improvements to the quality and accuracy of AI Tax Assist supported a 13-point increase in our conversion rate among new clients. With our award-winning DIY product, our MyBlock mobile app, our expert review product, Tax Pro Review and our unmatched retail footprint, we remain well positioned to serve clients from fully virtual to fully in-person and everything in between. And of course, driving greater demand for H&R Block among the highest value prospects remains our marketing team's top priority. In Small Business, we delivered double-digit top line growth, resulting in fiscal 2025 being a record revenue year. I am proud to see this multiyear success continue. Assisted small business tax performed well and our DIY strategy to expand the number of client experiences customized by occupation proved highly effective, resulting in meaningful client growth. We also continue to see favorable trends in bookkeeping and payroll through the successful conversion of tax clients to other service offerings. These results reflect the expertise and strong value proposition that we're delivering for small businesses compared to independent providers. Wave, an important component of our small business imperative, also had a very productive year. With the full year benefit of paid products like Pro-Tier, Wave delivered a 13% annual revenue increase. This is one of many ways that Wave is demonstrating its expanding role as a significant growth lever for small business. Our Spruce mobile banking platform continues to support our customers in managing their finances and encouraging prudent savings habits. We're pleased with the ongoing customer growth and engagement during fiscal 2025. Last year at this time, I spoke to the team's focus on acquiring Spruce users, both during and outside of tax season. In 2025, we delivered on that objective. Newly created Spruce accounts rose by nearly 40%, and we continue to see almost half of all deposits coming from nontax sources, predominantly from recurring payroll deposits and transfers from other accounts. These achievements have helped drive total customer deposits in Spruce to $1.75 billion since its launch. As we look ahead to fiscal 2026 and beyond and finalize our plans for the upcoming tax season, we are excited about the opportunities to continue building on the progress we're making. Consistent with what we've shared on previous calls, we remain committed to the financial algorithm and capital allocation priorities that have helped H&R Block deliver meaningful outcomes for customers and create significant value for shareholders. We operate within a stable industry that serves a large total addressable market of consumers and small businesses. We continue to see significant opportunity to capture market share by building products and experiences that delight our customers, leveraging the growing role of AI and driving even greater efficiency across the business. For example, small businesses remain the backbone of the economy, and we've proven our ability to generate growth by serving them in multiple ways from tax to bookkeeping and payroll to pure-play digital and SaaS services. The combination of Block Advisors and Wave enables us to offer a broad range of products and to deliver significant value to small business owners. They trust our expertise and advice and value the breadth of services that we provide. We are also building on our multiyear success of serving higher-value, more complex assisted and DIY clients and gaining more surgical precision for how we attract and acquire free DIY clients who have a greater propensity to become paying clients over time. These customer segments have higher loyalty and lifetime value, which greatly benefits mix and translates into stronger financial results for H&R Block and our shareholders. We know that the advantage of our expansive retail presence, combined with our award- winning DIY product and our MyBlock mobile app represents a unique opportunity for consumers and small business owners to be served by H&R Block however they choose. And it is evident that AI and automation more broadly will support an improved experience for clients and expert advisers and will drive greater productivity in the business. Our marketing and product teams remain focused on generating and capturing market demand and on effectively converting clients who choose H&R Block regardless of the channel. Finally, continued franchise acquisitions remain important to our overall financial algorithm. We believe there is a meaningful runway for franchise and independent office acquisitions and that these represent a great use of capital. As in prior years, we will use our first quarter earnings call to share more details on our tax season plans. We look forward to that opportunity and to providing additional perspective on the key strategies we believe will drive H&R Block's continued success. I will now turn it over to Tiffany to discuss our financial results and 2026 outlook.
Tiffany L. Mason: Thank you, Jeff, and good afternoon, everyone. We delivered $3.8 billion of total revenue in fiscal 2025, an increase of 4.2%. Revenue growth was primarily driven by higher overall NAC and greater company-owned assisted return volumes in the U.S., partially offset by lower interest and fee income on Emerald Advance. Our results reflect further enhancements to the client experience and our dedication to a strong value proposition. In fiscal 2025, we increased our focus on delivering a balance of volume, price and mix. This will remain a key element of our ongoing strategy. Total operating expenses for the fiscal year were $2.9 billion, an increase of 4.6%, primarily due to higher tax professional wages and benefits as a result of the better company-owned return volumes. We had other meaningful contributors to the year-over-year increase, some of which were expected and reflected in our outlook and others that were higher than planned. Marketing, consulting and technology expenses, while higher year-over-year, were in line with our expectations, and their total impact was partially offset by lower bad debt expense. Separately, elevated health care costs and legal fees and settlements were meaningful contributors to the year-over-year increase, while also impacting full year EBITDA results relative to our outlook. Lastly, in the fourth quarter, we incurred severance-related charges associated with an organizational realignment. Fiscal 2025 EBITDA was $976 million or a 1.4% improvement to the prior year. The full year effective tax rate was 22%. During the fourth quarter, as shared previously, we expected to recognize a onetime tax benefit related to the closure of various matters under examination. Unfortunately, due to external factors beyond our control, the completion of these matters was delayed beyond fiscal 2025. As a result, net income from continuing operations was $609 million, while earnings per share from continuing operations was $4.42, a 6.8% increase over the prior year. Adjusted earnings per share from continuing operations was $4.66 or 5.7% over the prior year as a result of share repurchases and higher net income. Turning to our capital structure and disciplined capital allocation practices. Our liquidity position remains strong, driven by our significant and stable cash flow production. This year, we generated approximately $600 million of free cash flow. Given the seasonality of our business, we maintain ample sources of liquidity to fund core operations. We were pleased with the recent 5-year extension of our credit facility, which was maintained at $1.5 billion. We received favorable pricing, which is expected to improve interest expense by more than $1 million annually, illustrating the financial health of our business. I appreciate the commitment of each of our bank partners. We also have a $350 million tranche of debt coming due in October, and we expect to refinance those notes subject to market conditions. Our disciplined approach to capital allocation continues to drive meaningful value for shareholders as we invest in the business, grow the dividend and through the flexibility of share repurchases, return excess capital to shareholders. One of the ways we invested in our business during fiscal 2025 was the opportunistic acquisition of 124 franchise locations. We are pleased with how this strategy supports our long-term revenue and earnings growth. Also in fiscal 2025, we returned approximately $600 million to shareholders in the form of dividends and share repurchases. As Jeff shared, since 2016, the cumulative total of capital returned to H&R Block shareholders has reached more than $4.5 billion. Lastly, we are pleased to have announced a 12% increase in our quarterly dividend to $0.42 per share and anticipate continued opportunistic share repurchases in fiscal '26 as part of our commitment to strong capital allocation practices. Turning to our fiscal 2026 outlook. I'll begin with some context around the key assumptions we've made. First, we believe industry growth next year will be in line with historical trends or about 1%. Second, we are intensifying our efforts to pursue a healthier balance of volume, price and mix over the coming years. This will be supported by ongoing enhancements to the client experience and a strong focus on conversion. Next, we expect small business to increase its contribution as a meaningful revenue driver in fiscal 2026 and the years to come. Lastly, we intend to continue acquiring franchise locations when opportunities arise at attractive EBITDA multiples. As a result of these and other business assumptions, our outlook for fiscal 2026 is for revenue to be in the range of $3.875 billion to $3.895 billion, EBITDA to be in the range of $1.015 billion to $1.035 billion, our effective tax rate to be approximately 25% and adjusted EPS to be in the range of $4.85 to $5, which assumes approximately $400 million of share repurchases in the first half of the fiscal year, subject to market conditions. We have multiple levers to drive increased annual revenue, and we believe we can leverage our cost structure such that EBITDA growth outpaces revenue while utilizing share repurchases to grow EPS even faster. All in all, we are well positioned for fiscal 2026 and beyond. I'll close with a reminder. Our investment thesis remains strong amid ever-evolving industry and macroeconomic conditions. We operate in a stable industry. We have a strong national presence, and we maintain a compelling financial profile with healthy margins and disciplined capital allocation. This underpins our confidence in driving substantial long-term value for our shareholders. And with that, I will turn it back over to Jeff for closing remarks.
Jeffrey J. Jones: Thank you, Tiffany. As we close out our prepared remarks, I'd like to take a moment and comment on my decision to retire as President and CEO as of December 31, 2025, which we announced yesterday. Leading H&R Block over the last 8 years has been the honor of a lifetime. We have elevated Block's relevance, made bold bets to drive growth, built an extraordinary culture, embrace the potential of AI and created significant value for shareholders. And while our work is never done, I'm proud of all we've been able to accomplish. I'm also thrilled with how our Board managed succession planning and their decision to appoint Curtis as President and CEO starting on January 1, 2026. His time as President of Global Consumer Tax and Chief Product Officer of Block has served him well as he steps into this new role. He is not only a leader with more than a decade of deep tax industry expertise, but also a tremendous fit for Block's culture. Curtis is an engineering and product expert and is uniquely positioned to continue driving transformation and sustainable revenue growth. As far as what's next for me, job #1 is ensuring a smooth and successful transition with Curtis and for the company. I will remain President and CEO until December 31, 2025, at which time I will move into a strategic adviser position until September of 2026. Beyond that, with no firm plans in no new role, I'm eager to make up for lost time with friends and family. Every single day since I started on October 9, 2017, I've given everything I have to H&R Block, and I'm looking forward to stepping back to fully appreciate what we've been able to accomplish and to helping the team achieve even greater results. With that, operator, we'll open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Kartik Mehta of Northcoast Research.
Kartik Mehta: Jeff, I know you talked about kind of assumptions for industry growth. I'm wondering what your assumptions are for what you think the assisted and DIY market grows next year?
Jeffrey J. Jones: Kartik, thank you, and I'll tag in with Tiffany if she wants to add anything. But we saw this year a mix shift of about 21 bps to the assisted business. And as we talk to consumers over the year, we knew that anticipation of the One Big Beautiful Bill, the uncertainty about changes really caused people to turn for assistance in a big way. So as we look forward to next year, next tax season, knowing that the bill has been passed, but the details and the execution is still to come, we're assuming a similar level of shift to the assisted business that we saw this year. And that's our base assumption, and we'll talk more about that as it relates to outlook as well.
Tiffany L. Mason: Yes, I think that's right, Jeff. And Kartik, the only thing that I would add to what Jeff said is to underscore the point that we're using the shift that we saw in tax season '25 as a proxy as we think about our guide for fiscal '26 related to One Big Beautiful Bill. And then an acknowledgment that while we're making great strides, we did still lose share this past year. And so we have plans to continue to make strides to cut our share losses even further. But at the midpoint of our guidance range that we just issued for fiscal '26, that midpoint would suggest that we cut those share losses in half. So at the top end of the range, we're really growing with the market. So I would just add that additional color and commentary relative to your question.
Kartik Mehta: That's helpful, Tiffany. And just one other one, Jeff. It seems like this year, refunds might be higher just because of everything that's happening. And I'm wondering if you plan on any changes to bank products to maybe drive a greater number of early season filers to your offices.
Jeffrey J. Jones: Yes, I appreciate that question, and that is certainly a possibility. I mean I think as it relates to tax season plan specifically, I want to save commentary on that and what we plan to do until November just for competitive reasons, but I think you raised a valid point.
Operator: Our next question comes from the line of Scott Schneeberger of Oppenheimer & Company.
Scott Andrew Schneeberger: Jeff, it sounds like we'll maybe catch you again one more time, but congratulations on the news and to Curtis as well. I guess for the first question, I'd like to ask, and it pertains to the guidance. Tiffany mentioned we'll get an update on the fiscal first quarter call and I believe you would add -- Block has had a multiyear strategy. But now with the executive changes, probably a new longer-term strategy comes in. So what will it be that we get on the first quarter call? Will it be just guidance for the upcoming year with regard to the tax season in a little bit more detail than you've already provided? Just curious what we'll get there. And will there be a multiyear objective or strategy? Or is that going to be [ too ] prompt given the CEO change?
Jeffrey J. Jones: Scott, thank you, and you covered several points there. So let me speak for a little bit on your question. First of all, I'm really proud to pass the baton to an internal successor and because Curtis has been here, that means our strategy is locked, and we will continue to execute the strategy that Curtis has been part of building. So I would not expect any kind of shift strategically. We're aligned with the leadership team and with the Board on what we see for plans for not only tax season '26 but beyond. With respect to later this fall, when we get on the Q1 call, we'll do what we normally do, which is share more detail about tax season plans. But also later this fall, we want to share a broader perspective on how we're seeing the business beyond tax season '26. And so I think both those things will happen. You'll definitely hear that from me. Curtis will be with me when we do that. But again, I can't stress enough, and I appreciate your commentary about this in what you wrote. It's really important that this has been an internal plan succession move with somebody who not only knows the industry cold, but has been along by the side as we developed our next strategy. So I feel very good about that transition.
Scott Andrew Schneeberger: Appreciate that color on that outlook. I guess, Tiffany, I'm curious on the guidance, the EBITDA guidance, the implied margin. I just -- this is a question about what were legal fee impacts? I think I heard something about severance at the end of the fiscal year. Could you speak about some of the moving pieces at the end of this year, if any of that is going to slide into next year? And then how we should think about the midpoint of guidance this year, which I believe was 26.0%. It looks like the midpoint is 26.4% for next year. Kind of maybe make a bridge of what's the delta in those with consideration for onetime items?
Tiffany L. Mason: Of course, Scott. So a few thoughts for you. So as we think about elevated costs in fiscal '25 and how to think about bridging then into the guidance that I just gave for fiscal '26, the couple of places where we saw elevated costs were in health care, legal expenses and severance-related costs. Health care costs had to do with high-cost claims in the second half of fiscal '25. And we've taken those elevated costs, and we have used that exit rate to annualize our expectations for fiscal '26. So those higher costs are included in our fiscal '26 guide. We've done the same thing with legal expenses because they ran higher in fiscal '25 than we obviously had planned. And so we have factored that into our fiscal '26 guide settlement aside. And then obviously, severance is something that is recurring, though not at the level that we saw in fiscal '25. So we've taken that back to a normal level of severance in the guide for fiscal '26. So all of those things from fiscal '25 have been adequately adjusted for in fiscal '26 guidance. Now we are seeing better flow-through in our fiscal '26 guide, whether you're looking at the midpoint or either end of the range than what we just recognized in fiscal '25. And the reason we have confidence in that is we made some realignment activities, as we talked about in fiscal '25 that are going to create cost savings opportunities for us in fiscal '26. So that's one thing that's working in our favor from actions we took in fiscal '25. We also did the hard work during fiscal '26 planning to tighten our belt across the board from a cost perspective. And then the last thing is we have line of sight to other cost-out opportunities over the course of fiscal '26. The specifics I won't get into today, but you'll hear about those over the course of fiscal '26. So we feel really good about the guide that we shared today. And I'm pleased to say that the ratio of revenue growth to EBITDA flow-through is in line with our long-term algorithm.
Scott Andrew Schneeberger: And Tiffany, just a quick follow-on on that. So yes, from Kartik's question, we discussed a little bit about the OB3, the new tax implications. And I think you touched on how you're thinking about that for next year, but that is a tailwind, correct? And that's factored in the guidance. Just a little more clarification there.
Tiffany L. Mason: Yes, Scott, that's great. Thank you. So we do believe it's a tailwind. We are being cautiously optimistic, and we're using what we saw as the shift in -- shift from DIY to assistant in tax season '25 as a proxy for the time being. That's right.
Operator: Our next question comes from the line of George Tong of Goldman Sachs.
Keen Fai Tong: Yes. First question is, earlier, you mentioned you're striving for a healthier balance of volume, price and mix for the 2026 tax season. Can you elaborate on what you mean by that and some of the initiatives that you have to get behind that healthier balance?
Tiffany L. Mason: George, sure. Happy to elaborate. So as we think about fiscal '25 performance in both the assisted business and in the DIY business, we drove -- we talked to the organization a lot about not only driving price increases and in the Assisted business, we saw low single- digit price increases, and we struck about mid-single-digit price increases in DIY, but also driving greater volume performance and greater mix. And when we say mix, what we mean is complexity of client. So in the Assisted business, it's sort of continued growth in clients over $100,000 of AGI. And in the DIY business, it's continuing to capture clients in premium SKUs and the Small Business growth as well. So that's what we mean is a balance across the 3 versus being overly reliant on price to drive revenue. When we look at the performance or the mix of our revenue from fiscal '24 to fiscal '25, we like the way that, that mix of revenue, that complexion of revenue progressed. We want to continue to see that progression as we move forward in '26 and beyond. So that's the comment that I made in scripted remarks, and that's our intention strategically as we move forward.
Keen Fai Tong: Got it. That's helpful. And then you mentioned that at the midpoint of the fiscal '26 guide, you're assuming the share losses are cut in half and at the top end of the range, in line growth with the market. Can you talk about the various determinants that will factor into whether you land at the top end of the range, the midpoint of the range or the low end of the range in terms of performance and market shares for this upcoming tax season? What could be the swing factors that could work for you and against you?
Jeffrey J. Jones: George, let me jump in first and then Tiffany can add. I mean, speaking specifically about the Assisted business, you've heard me say before that there are 2 main levers that we remain focused on. The first one is doing more to convert the clients that start with us but don't finish. And you heard in the prepared remarks, we saw a nice improvement in that over the last couple of years. And that's everything from how we welcome a client, how we match to a Pro, how we manage expectations, how we price, how we don't lose a client, if there are resistance to price, that is all retail operations to improve conversion. And then obviously, as I said also, we're always focused on driving more demand in top of funnel. And so our ability to continue to improve our share loss midpoint or upper end of the range really comes down to our effectiveness at driving more qualified traffic top of the funnel and then continuing to do a better job of converting the people that start with us.
Operator: I would now like to turn the conference back to Jessica Hazel for closing remarks. Madam?
Jessica Hazel: Thank you, Latif, and thanks to everyone for joining us today. We look forward to speaking with you next quarter.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.